Xavier Huillard: [Call Starts Abruptly] I've just been given the green light. It's a great day. A great day because, first of all, we're very pleased to see you. It's a great day because Jean-Christophe has traveled especially from Argentina just to be with us. He's got a tan. And great day because Christian, on my left, is the grandfather of young Joseph from 15 minutes ago. [Foreign Language] I'll soon have 12. So that's done, pretty pleased to be with you. Before going into the figures, a few pictures. Here, we have Gatwick. Gatwick here. Next, a view of the construction project of a new civil airport at Montijo across the Tagus in Lisbon so as to meet the dynamism of the Portuguese tourist economy in Lisbon. Then a pretty symbolic image, IONITY, very high charging station on the A10 motorway. IONITY is a consortium of German manufacturers, very high-tech, all German carmakers to set up a network of 400 very high-speed charging stations in Europe, about 100 in France. It's the first. And it's a symbol that the electric car is really taking off and we've all understood that. Next, a new dynamic toll collection system contract won in September in Texas, the U.S., by TollPlus. Toll collection system allows you on the same section to have free lanes and paying lanes and you can change as many times as you like within a given hour the tariff for charging lanes. So it's to vary traffic level so as to respect journey times from A to B. It's very interesting. It generates a lot of electronics. And TollPlus won the contract after many other contracts already won in the U.S. Here, we have an illustration of the know-how VINCI Energies in IoT, Internet of Things, in the Port of Rotterdam Authority to track and optimize the shipping traffic in the port of Rotterdam. Here, a view that symbolizes the acquisition that we're very pleased with, Lane Plants & Paving, allowing year-over-year to double its size in the Eastern and Southeastern part of the United States. So things are going well. Integration is proceeding smoothly. Next, a fine building by Jean Nouvel built in Marseilles, it's La Marseillaise tower, very close, 200 or 300 meters from the first tower that we built 10 years ago. That is the headquarters of CMA CGM between this tower and Marseilles airport. And a first with a vertical tunneling machine that is produced in conjunction with Herrenknecht, who's the leading manufacturer of tunnel boring machines. These generally operate horizontally. This is a vertical tunneling method, building a well as part of the Greater Paris project [indiscernible] I went to see it. It seems to work well. Lastly, new product launched by VINCI Immobilier real estate recently, Student Factory in Bordeaux, a student residence with large open spaces, very user-friendly. We already have three. And we plan to continue to grow this real estate market segment so much for the images. Now 2018 has been a good year, a very good year, I should say, characterized by strong growth and order intake. In Contracting, also good motorway traffic levels in line with our forecast up until mid-November. And then things deteriorated, as you may have seen from our press release, well, of course, following the Yellow Vest that particularly hit ASF and Escota because you will have seen that it's in this part of France that the social unrest was the most severe. Airport traffic remains buoyant, more about that in a moment. Net income sharply up and free cash flow very sharply up. And consequently, debt remains contained in spite of CapEx that are up and numerous acquisitions across our businesses during the course of 2018, but of course, Christian will go into greater detail of the figures. A quick geographical focus. All our geographies are up, as you can see, with the exception of Latin America that is down 5%. Two factors, exchange rate, but it's not the only geography where we've had to manage currency impacts that were negative last year. But in this part of the world, in the previous year in 2017, we've had worked a section to the motorway section at Lima, Peru that kept us very busy. You see that Africa is now flat after the very severe decreases booked at previous years owing to the drop in commodity prices, oil in particular. Africa, as we said is coming back strongly, recorded good order intake in 2018, has stabilized its activity and so that will spread across Africa in 2019. If we go into greater detail, starting with the Autoroutes, the motorways, the social crisis cost us about 2.2% in traffic because we were headed to deliver 1.7%, 1.8% and we ended at minus 0.5%, the difference between the two traffic numbers. Of course, that led us to the particularly attentive to the spending power of the customer segment of those who use motorways to travel from home to work. We have a new subscription, that is – that is to all drivers and motorbikes that perform over 10 journeys per month over the same destination. We have over 5,000 users who've signed up for this new scheme. And it's halfway meeting the spending power concerns of our fellow citizens. The motorway investment plans got underway as well as the works bypassing the west of Strasbourg. We've rolled out the Ulys brand, Ulys 30 that I mentioned a few months, which is connected mobility service that provides real-time traffic information with webcams and data and service areas, chatbots, a toll that can be people-free, just paying with your iPhone, et cetera. The dynamics of Airports, of VINCI Airports is continuing: 6.8% growth in Portugal; 9.2% growth in France; 20%, Cambodia; 8.8%, Chile; 3.7% Japan. And that's in spite of the typhoon that struck and disrupted us at KIX airport. It's built on an artificial island in the middle of the bay of Osaka and suffered the impact of a very violent typhoon that led us to stop operations for a few weeks. Revenue managed by VINCI Airports comes in at EUR 3.6 billion. That's pro forma in which we include the revenue of all the airports where we play a significant role, irrespective of whether we control them or not. If we focus on consolidated revenue, we're at EUR 1.6 billion in revenue, markedly up over last year with an EBITDA that it is up 130 basis points over 2017, which was sharply up over the previous year. If we look at the passengers who traveled through our airports, including all those recently acquired and, of course, including Gatwick deal hasn't been formally closed, but we signed an agreement with the seller on the 26th of December last year, we arrive at 240 million passengers managed. By way of comparison, for those of you who have forgotten, CDG is 70 million passengers, give or take, or Orly, 35 million passengers. And we've won numerous new contracts, Salvador de Bahia, Belgrade, Kobe, the United States, Costa Rica and the most recent, Gatwick with 46 million passengers. And then going back to my third slide, we signed an MoU with the Portuguese government for two things: first of all, to build a new civil airport from the military airbase of Montijo across the Tagus in Lisbon; and furthermore, a renovation and extension program of the existing Lisbon airport, Humberto Delgado, that's very close to the downtown area of Lisbon. With an investment that will represent EUR 1.15 billion, we'll be able to meet the momentum of the economy and air traffic headed for Portugal and Lisbon, in particular. We believe that VINCI Airports is the leading private operator of airports. And as you will have no doubt, we don't plan to stop there. On Concessions, it's essentially VINCI Railways and Highways. This is a chart that excludes VINCI Park. There was some revenue remaining in the initial years on the left. If we leave aside VINCI Park, you see that things are growing. VINCI Highways, we opened Section 2 of our asset in Lima, Peru, LAMSAC, 13.4% growth, ramp-up above expectations. The difficulty is to ensure smooth traffic flow and we're going flat out on deploying toll solutions through PEX, part of the group that disseminates proactively pay toll systems to absorb the very significant growth in traffic in Lima. So things are going markedly better than we planned in our initial PP. In Greece, things are going better than in earlier crisis years. Traffic levels are picking up usefully. The Rion-Antirion bridge, the bridge that we reconsolidated during the course of 2018. Good ramp-up of our SEA Tours-Bordeaux high-speed rail link. 20 million passengers traveled that section in 2018, 11% growth in passenger numbers between the Paris region and Southwestern France. And with that, we've been able to refinance the debt of the asset, EUR 2.2 billion, which is, of course, important in a concession, especially during the start-up phase. So we successfully managed to put that deal on track. Moving to Contracting. VINCI Energies, grand slam achieved with strong organic growth as you can see. Wasn't the case in 2016, it's beginning to occur in 2017. 3.7% in France, 5% outside France, good growth. Also M&A brought in EUR 1.4 billion in additional revenue. And all that was boosting the margin, which is headed for 5.8% up over last year. What's worth noting on this chart is the France, international split of VINCI Energies is now shifted. International represents 54% of revenue of VINCI Energies, which is in line with our strategic roadmap. Eurovia is faring well, indeed very well with pretty outstanding organic growth, France, 8.5% [indiscernible] worth benefiting from the conventional effect of midterms versus the municipal elections. It's going to continue for a while into 2019, not necessarily into 20'20. So that's in the bag. Good organic growth in France as well as outside, 5.8%. And we stated that this good performance of Eurovia led us to – of a move for M&A in Canada, in the Baltics and more recently, Lane Plants & Paving in the United States, all these very usefully, as you can see. The operating margin is up from 3.7% to 3.9% EBIT margin. Eurovia has the bulk of its business in France. That's because France is doing very well, 44% outside France and 56% in France. For Construction, we need to go into details because the businesses follow different cycles. France is back. You see organic growth 2.5%, slight organic growth last year but very significant decline in previous years. We suffered a lot in Construction in France during earlier in the year. So the good news is organic growth is up in France, growth also in Central Europe, Asia/Oceania. Upper Africa, I'd say upturn, excellent order intake in 2018. VCGP major projects, in a transition phase, that's to say that we're coming to the end of a number of major projects. And we haven't yet kicked off a number of new major projects, but we have strong hopes. Earlier, we had confirmation of the fact that we're going to process a railway station as part of the HS2 project in the UK. This is a project that represents for us something like EUR 700 million. So that means HS2 is getting underway and we have other transactions pertaining to HS2 in the pipeline that are going through the first phase open ECI with some discussions, price-setting with the authorities in project management regarding the amount of the works that are significantly higher than the initially planned budget. Oil and gas, primarily at Entrepose Contracting, continuing to suffer a great deal because hurt by the pretty dramatic loss of investments by the oil majors in both oil and gas. Now there are segments at Entrepose Contracting that are doing okay. The pipe as we speak, the historical business of Entrepose Contracting is suffering considerably because CapEx by the majors or national oil companies haven't really picked up hugely. Quick focus on VINCI Immobilier real estate. Things are doing well. We said about six months ago that our sense was that we'd reach the peak of real estate development in the residential segment. That's the case. We recorded a slight decrease for number of bookings in residential property in 2018. So it's going to continue to decline slowly. It's not reflected in the figures because in real estate, there's always a lag between the time you reserve and when you book in your books. And at VINCI Immobilier, our position means that we sold – we had a fewer bookings. But in value terms, it's slightly more because the average cost of each housing unit has been pushed upwards because of where we're positioned. Good commercial property projects, hotels, offices in Paris and in Lyon. And VINCI Immobilier made an acquisition of 49.9% of Urbat that's interesting because geographically, it's located in Southern France and it's positioned in a market segment, which is one of controlled pricing homes whereas we work in higher-end segments. I'm now go to turn over the Christian for the figures, and I'll come back to discuss the outlook.
Christian Labeyrie: Thank you. So briefly come back to revenue, you can see organic growth, similar order of magnitude in Concessions and Contracting, above 3%. In real estate, plus 20%, which shows the big increase in reservations in recent years. Now to talk to you about changes in scope. The impact here is due to the full year effect of acquisitions in 2017, just under EUR 900 million worth, plus acquisitions made in 2018, providing about EUR 1.4 billion in revenue, such as the acquisition of PrimeLine in the U.S. by VINCI Energies, Wah Loon Engineering in Singapore also by VINCI Energies, TNT in Canada by Eurovia and the Salvador de Bahia airport in Brazil. On the other hand, acquisitions of the Belgrade airport and Lane Plants & Paving closed toward the end of the year have virtually no impact on the full year revenue. Currency effects are negative because the euro continued to appreciate versus many currencies, particularly the dollar. Conversion of revenue of the subsidiaries into euro means a few euros that's why there's a negative effect. Next slide. This is the revenue evolution by geographical area. It's different. In France, mainly boosted by organic growth, particularly Xavier mentioned Eurovia, which sees a big growth in revenue, 8.5%; VINCI Airports, up 6.2%; VINCI Energies, up 3.7% without mentioning real estate. International growth is driven mainly by acquisitions growth, thanks to the acquisitions I mentioned previously. But there is organic growth internationally certainly, particularly in Germany, Poland as well as the Czech Republic whereas the U.K. is actually moving down. Now to talk about EBIT. Reaching almost EUR 5 billion, which is up 8.5%. Margin improved 10 basis points. So we can say the performance is remarkable. All business divisions improved their contributions in 2018, except for VINCI Autoroutes, which maintained its earnings level unchanged for reasons given by Xavier and the events and so forth. Also to the impact of the amortization of sections that were put in line recently in 2017, such as the Montpellier bypass and then the section in the Basques Country leading to better amortization. Concessions overall improved their contribution, EUR 180 million, Contracting, 10 million as the contribution. These figures include the bonus for purchasing power toward the end of the year, which is an amount of EUR 20 million to EUR 30 million. Concessions, as I mentioned, an improvement coming mainly from VINCI Airports. This is a consequence of growth in revenue and careful controlling expenses. VINCI Autoroutes, as I mentioned. VINCI Energies, reaching 5.8% margin, which I believe is by far the best performance in the industry. And you see this in most VINCI Energies divisions, in fact all their divisions. Eurovia also improved its contribution by 20 basis points, reaching 3.9%, which I believe also locates the company at the top of the industry. And this is in spite of difficulties we alluded to during half year, limiting some problems with railroads in France and particularly strikes at the SNCF railway in the springtime. VINCI Construction, more of a contrast. In France, an improvement in the situation, but the margin rate doesn't yet add to its record levels we've reached in the past. VINCI Construction U.K. once again is seeing a profit. A profit in construction in the U.K., that's a true feat of achievement, considering the overall context. International subsidiaries, we continue to show good results, around 3%. Major projects, Soletanche Freyssinet continuing to be in excess of 4% to 4.5%. And we see that the figures here are seen on the screen. Overall, an improvement of 30 basis points for VINCI Construction versus last year. And we should continue seeing this progress in 2019. Now to continue to the income statement. Let's talk about IFRS 2, which is a reflection of impact on earnings of share-based payment plans for employees, such as the corporate savings plan as well as performance shares. We increased the contribution of the company to the savings plan, which explains part of the increase in this expense line item. Now other items, equity affiliates, slightly down over last year. We had a capital gain for a land sold in London that was around EUR 40 million. And of course, that's nonrecurring. There are no other nonrecurring items this year. If you look at the income statement versus last year, we had some restructuring expenses previously and some impairments of goodwill. Now financial results, basically stable year-on-year. This includes a significant reduction in the cost of debt because the new debt established, I'll come back to that later, has been coordinated at very – at interest rates that are at much lower than interest rates on the debt we paid during the year. We're looking at less interest this year though because we put into service, as we said, various new sections at VINCI Autoroutes that we put under P&L, we are in Peru, bringing online a second section of LAMSAC in June of 2018 means that we're going to take all the financial expenses from that investment in Peru. Tax costs going up. Correcting for nonrecurring items by EUR 100 million, this basically is due to our improved profits. Taxation rates has not changed in France, not for us, versus last year. So all in all, it results in an average of EUR 3 billion, up 8.6% for net income. And this similar growth rate of earnings per share, we've canceled out the dilution in earnings due to the creation of new – that have been called by Christian as gain of shares for employees. Let's look at cash flow now. EBITDA, almost EUR 9 billion, which is an improvement of over 6% versus 2017. Now out of the EUR 6.9 billion, Concessions represent almost EUR 5 billion: VINCI Autoroutes, EUR 3.9 billion; VINCI Airports, EUR 900 million, other concessions, EUR 100 million. Working capital requirements, below EUR 300 million, increased but below EUR 300 million, similar order of magnitude of last year. The reason for this mainly is an increase in our acquisitions of land for VINCI Immobilier, around EUR 26 million. We want to continue developing real estate to buy land. That's the raw material for property business. Furthermore, VINCI Construction increased its WCR by around EUR 170 million. This is due to, as what Xavier said, grand project and start-up costs and also a trough when it comes to big, major projects. But this should correct in all likelihood during 2019 or towards the end of the year. Furthermore, here, we also made investments in land in various operations. And I also mentioned to you previously in the past, there's been a completion of various loss-making jobs that have been provisioned previously. And the losses had a cash effect. Taxes paid, down substantially compared to 2017. I recall we felt the impact end of 2017 by increasing corporate taxes around EUR 200 million. Plus cash in the beginning of the year, EUR 100 million, 3% dividend tax that was paid back, so EUR 300 million difference. If we correct for the difference and we also correct for the fact that we started work on our new HQ in Nanterre, EUR 125 million, the difference in free cash flow from 1 year to the next is around EUR 500 million. We improved free cash flow by EUR 500 million. If you correct for tax effects and the effects of what we call the [indiscernible], the name of our new headquarters in Nanterre. Investments above and beyond the HQ investment are up because activities are growing, particularly in contracting. So operating OpEx continues. Investments elsewhere, EUR 1 billion in Concessions, around EUR 670 million for VINCI Autoroutes and VINCI Airports, EUR 170 million, that includes Brazil, Portugal, a little bit in Serbia toward the end of the year. As I said, all of this has led to free cash flow that's up substantially, EUR 3.2 billion. That's beyond our forecast – above our end-of-year forecast end of the year in terms of cash in specifically. Financial investments, many in the year, EUR 2.8 billion investments in Contracting and also in Concessions. In Contracting, around EUR 1.6 billion, over EUR 1.6 billion in financial investments, EUR 900 million at VINCI Energies. Almost 30 companies acquired by VINCI Energies. Of course, PrimeLine in the U.S., biggest one and Wah Loon in Singapore, but there were many others. Around EUR 700 million investments at Eurovia. Here as well, mainly Lane Plants & Paving in the United States toward the year but also other acquisitions in Canada, in France and in Estonia. Concessions, around EUR 1 billion in acquisitions by VINCI Airports. Broadly half of this in Serbia, another half, the Airports Worldwide portfolio, which is airports in Northern Ireland, Sweden, United States and Costa Rica. We paid up EUR 1.4 billion in dividends. The share buyback, as I mentioned, offset these share increases for shareholders for employees side. So we can say that, that little increase here due to the various investments through out the year. Capital employed, up. That's the next slide. Over EUR 38 billion versus EUR 35 billion one year before. Out of the EUR 38 billion, about EUR 31 billion is in Concessions, EUR 6 billion in Contracting and under EUR 1 billion in real estate and holdings. Shareholders' equity up around EUR 20 billion and debt EUR 15-some billion [indiscernible] by EUR 6 billion. EUR 21 billion is the gross debt, up from last year. We thought it was relevant in the context of the current marketplace to lengthen our debt by issuing more than we needed. So cash on hand end of the year was up, went from EUR 4.8 billion to EUR 5.6 billion. Now I'll come back to finance operations during the year, next slide. We were very active in 2018 as you will have observed. We raised EUR 4 billion in new debt, ASF and VINCI. Average maturity is 10 years. Average weighted cost, you can't calculate from this slide because these rates are the ones on issue which is the coupons. We swapped most of them for short rates, which are much cheaper, often negative. So all-in-all, extra debt cost us less than 1%. We also established towards the end of the year the financing of the Belgrade airport, which was a substantial performance, considering the lenders are mainly not only but mainly international organizations. All-in-all, we will have raised EUR 4.4 billion, which if we include Serbia for consolidated elements in the group. At the same time, we paid back around EUR 3 billion in debt, reaching maturity that cost us almost 5%. So that's why there's an improvement in cost of debt. Entities that are consolidated but did interesting operations as well in 2018. You've got LISEA. LISEA is our concessionaire company of LGV Tours-Bordeaux. They refinanced their bad debt to the tune of EUR 2.2 billion by extending duration to 27 years and 35 years, which of course improves return on equity of that project. Lastly, I'm going to do liquidity aside from the points I just made previously, increased the gross debt leading to cash, short end of cash that's greater. We increased our credit line from banks, partner banks, over 20 of them, reaching EUR 8 billion credit line, maturity 2023. But this could be extended considerably subsequently. All this was made possible by the good quality of VINCI's rating. [Indiscernible] at S&P and A3 at Moody's. As Xavier already mentioned, this has led to constant decline in the cost of our debt, reaching 2.25% now if you looked at average cost for the full year. To reach this last slide, I'd recall our strategy when it comes to interest rates. In recent years, we've endeavored to extend the duration of our debt all the while optimizing cost of financing. How do we achieve this? Because when you borrow long, it's more expensive than if you borrow short. Well, first of all, we benefited from exceptional conditions, but also we also decided to swap part of debt, around half of our net debt and 60% of gross debt, same amount, in exchange for short grants rates, LIBOR 3 months. And that's how we were able to produce cost of debt. Why did we do this? Because our view is that – about EUR 7 billion [indiscernible] EBITDA means that we're correlating to inflation, which means there's no risk in holding on EUR 7 billion net debt at floating rates.
Xavier Huillard: Thank you, Christian. So how do we view 2019? As per the tradition, we have to look for contracting our order intake. At the start of the year, it's up, as you can see, significantly over the previous year, up 13%. All Contracting businesses are recording an increase in their order intake. If we look at the split, France and outside France, for some time now, we've been in this situation with an order book outside France that's higher than that of France. And the dip of the order book in France is fully explainable in 2017. We booked very big contracts for the Greater Paris Express, wasn't the case in 2018. So nothing particularly worrying there, all this to conclude that Contracting businesses will grow in 2019. On the Concession front, it's not rocket science. The growth in motorway traffic will track economic growth. Except, of course, if we suffer some exceptional events similar to those suffered at the end of last year, we can return to that if you like. VINCI Airports growth also anticipated growth rates slightly lower than last year because of the high comparison base growing year after year. And of course, after integration of London Gatwick, expected to close before the end of Q1, so growth for our concessions, which means that all-in-all, we expect 2019 to be another year of further growth in revenue and net income. It's on this basis that the board, which met yesterday, in its infinite wisdom decided to propose to the Shareholders' Meeting a coupon of EUR 2.67 per share, which EUR 0.75 has been paid in the shape of an interim dividend in November 2018. That's up 9% over last year and so in line with our constant payout policy, a payout ratio of about 50% of our net income. All this looks good. In closing, I'd just like to revisit some fundamentals. First of all, cash flow generation is obviously a priority. It is the key metric. Since 2007, we've generated EUR 28 billion in free cash flow. And its use follows constant rules, return to shareholders 50% payout ratios; record and then stabilize the number of shares through a constant policy of share buybacks on the market to avoid dilution issues as part of the profit-sharing scheme for our employees; and to grow the group through targeted M&A whilst maintaining our rating. So these acquisitions follow simple rules, to facilitate our expansion, in particular internationally. Next slide, please. Here we are. Acquisitions follow straightforward rules. First of all, facilitate our expansion internationally. Back to the earlier one. Extend the maturity, the residual duration of our concession portfolio as well as be contracting on high-value segments. The M&A process is extremely rigorous. The initiative is down to the business units because it's those units that will integrate and grow the company's acquire. Every project is systematically screened by an internal Risk Committee and then it goes before the board, the Strategy Committee for acquisitions above EUR 50 million. And goes to VINCI board for the same acquisitions when the enterprise value exceeds EUR 200 million. Lastly, during these various review meetings, we examined not just the geographical and industrial rationale, that goes without saying. The price of the value creation expected, but also the control, the government's aspect. And above all, bottom right, the cultural fit of the chapter [ph] with the group's systems and values. We have excellent know-how in this regard, probably one of the most active companies in terms of M&A, sometimes, very small or very large deals. Part of our DNA and in conjunction with a rigorous process of organic growth over time to deliver constant, improved ROCE and ROE over the past few years. You can see the chart showing the past five years. That's what we wish to say. And we're now available to take your questions.
A - Xavier Huillard: [Indiscernible] question. Jean-Christophe came from Argentina who will be [indiscernible] so that I give the floor to Jean-Christophe [CM-CIC Market Solutions].
Jean-Christophe: [Foreign Language]
Operator: Unfortunately, the interpreters are receiving no sound.
Jean-Christophe: One of the major focus areas for VINCI Airports' existing infrastructure with works down the road. Isn't there a shift, maybe from greenfield targets, that – greenfield that might appear down the road?
Xavier Huillard: I'll begin with that last question, greenfield targets in airports is – that's infrequent. Usually, we're talking yellow field opportunity if we were to acquire, after a bidding process, we would acquire an airport. And growth in traffic would mean we'd have to take the capital expenditure to keep pace with that. And with the case in Portugal, with extensions on certain of our platforms, also for the case in Cambodia where we started terminals that were fairly small and gradually, they were extended to extend to extend to secondary traffic growth in traffic. So in airports, almost always, it's yellow field. So there is no particular change there. Maybe the slide wasn't all that clear, but there's nothing new in terms of our ongoing policy of development in airports.
Unidentified Analyst: [Indiscernible]
Xavier Huillard: Quality of results, VINCI construction. One of the points to look especially at is provisions – current provisions for clearing ones, short-term ones or jobs or longer-term provisions, may be ending with litigation and disputes. These are stable and actually slightly up. There's an increase in provisions under both of those headings, EUR 14 billion, EUR 15 billion in a division. You've got pluses and minuses clearly, but all-in, our quality of results is good.
Unidentified Analyst: The UK? What about the UK? [Indiscernible] what are you doing in the UK? Why are you in Paris?
Xavier Huillard: The results are positive in the UK. Just to give you specific, the cash improvement between 2017 and 2018, almost GBP 40 million. Christian?
Christian Labeyrie: Well, this slide may have led to some misunderstanding or the last one, 38 I think it was, Number 38, having to do with the criteria where we decide whether or not to acquire a company. Under Control, this is ill-worded here, but what we meant here is that in contracting businesses, these are labor-intensive. It's very important from the beginning to have control. The best case scenario is hold 100%. It's not always the case if we sold the company by an owner and to align with our interests, they sample with us several years before retiring possibly, and then sell the remaining capital amount, when they retire for that period. But at the end of the process, in contracting, overall there's 100% control because it's all about people and you've got to be in charge of management. In Concessions we prefer to consolidate because that's how you build a long process. And that's how we can be in charge of assets, control with the assets, especially managerial assets if we're – concerning full consolidation and at full, however, Portuguese airport investment that we've been able to taken forward to employees in Portugal and send them to Brazil and particularly to Chile. So wherever we can do this, we do. If we can't, for instance, in Japan, it wasn't possible to consolidate. Or if – regarding greenfield, if we think it would take too long given the time you'd have to reserve this space in our balance sheet and the time it'd actually begin generating significant EBITDA. SCA for instance, it would have been possible to consolidate SCA, but it would have meant we would have had to set aside EUR 6 billion in our balance sheet as of 2011 for EBITDA, but that would just we start arriving basically starting on an opening 2017. And then we'd still have to wait for the whole ramp-up phase. So we felt holding off the EUR 6 billion for such a long time frame wouldn't be worth our while. It's better to deconsolidate. On the other hand, you can have greenfield in airports and have full consolidation. It can happen. It's decided on a case-by-case basis.
Christian Labeyrie: Anybody on phone?
Xavier Huillard: The back of the room now.
Josep Pujal: Josep Pujal, Kepler Cheuvreux. I from Kepler Cheuvreux have got three questions if I may. So first is on motorway traffic levels in France. From what you've seen these past few weeks, is there a return to normal or not yet? Still on motorways in France, this reduction in the price of subscriptions that you offer to frequent users, how much do you think the impact is? And how do you view things? I mean, no one is compelling you to do that. Do you see it as a temporary measure? Or do you expect that once you've offered the scheme, it's very difficult to exit because it means that on here, you'll have to ask for an increase in 50% from the same users, customers. Final question on Concessions CapEx. We were expecting an increase this year of about EUR 200 million, if my memory is correct, over last year and that didn't happen. You maintained CapEx at about EUR 1 billion. However, I see that in 2019, you plan EUR 1.4 billion. So is that just the lag effect or are there other explanations? Thank you.
Xavier Huillard: I can't answer that last question. Christian will answer it after I've answered the first two. He will correct your question and he'll add a point, if need be. Motorway traffic, we need a year. What we can say? We could say that things could be better. We haven't yet seen a return to the usual figures. There's still some slight disturbances due to some social unrest you're familiar with. We can't say much more than that. It's not very serious if it just is happening at the beginning of the year. We'll know more as the year unfolds and we get the statistics in real-time. On reductions for frequent drivers, discounts, there wasn't our rationale. We didn't look at the costs as such. We were looking at what needed to be done to do – make our contribution, to do – to give some of our fellow citizens an extra purchasing power. It's very difficult to gauge the actual costs. We'll tell you afterwards. And even then, I'm not sure we'll be able to. It's difficult because first of all, you don't know how many people will pick up the subscription. For now, I've said there's 5,000. It started off well. There was even a bottleneck on their website to – you had to go to, to sign up, but we don't exactly how many people will. The Minister talked about one million potential customers could be interested for the whole motorway community. But that's just a guesstimate, so we don't really know. Next, we can well imagine there'd be some extra traffic costs because since the motorway would be less expensive, if you do the commute 10 times in a month or the same destination for the commute, that could lead to some people to take the motorway when previously, they preferred to take regular roads. So they're very frequent, currently, we can't give you an actual estimate, and it doesn't really matter to us. We needed to address the urgent matters. Maybe in the end, we were going to be able to tell you exactly the specific costs. On your last point, temporary or not, I can't imagine in the near future we would backtrack something like this, unless at some point, we had to more successfully revamp our marketing product offerings in the various networks.
Christian Labeyrie: Let me add a point. We've had the subscriptions at VINCI auto. We had already 20 different subscription schemes. And the 5,000 sold, two-thirds are transformation of existing subscriptions.
Xavier Huillard: CapEx, on capital expenditures, so it's complicated to forecast CapEx for Concessions. There are many different metrics that we're not in charge of. For instance, release of land, administrative permits, et cetera. In 2018, some things are a little bit delayed. We'd expect that things would be higher originally, but one of the things would change things would be the Strasbourg bypass. There were various events in Strasbourg and the job site began, but it was somewhat a difficult beginning. And motorway investment plan were to come up earlier than expected, most recently – it came out in August-September. That's something that's not appropriate and as we'd expected to complete earlier next year, deliver it in 2019 changed our curve. Strasbourg will start to ramp up substantial investments planned for motorway as well. And in Belgrade, we're beginning. Right now, it will probably in 2019 or 2020. This is the explanation, so 2018 versus 2019. The various phasing issues for 2017, 2018 and 2019, another question from over here now.
Unidentified Analyst: I got two questions. The first on the M&A strategy, VINCI Energies is getting closer to VINCI Construction in terms of size. Are we going to see a slowing of the pace of M&A on that segment? Secondly, on the plan to expand ANA in Lisbon, what are the funding arrangements? Is there going to be a tariff offset or compensation on that? Just to get some color on the potential offset for the Portuguese airport.
Xavier Huillard: I will take the first one and then Nicolas will answer the second one. All of our business lines are to make acquisitions if they're the right opportunity. It happens that one of the business lines, VINCI Energies, is a long-lasting cycle that's particularly positive in terms of acquisition, so it makes perfect sense to make acquisitions. With regards the business partner, we've got the size as well to actually move on this globally. So we're not going to stop them. But there are various phases. This is mainly a time when we're digesting things we acquired in the past two years. 2017, 2018, we will have acquired 16 companies, additional revenue and then full year of around EUR 2 billion. Then you have to, of course, integrate all of this, just to sort of pick and upgrade methods and so forth. Everything should be done in 2019. And VINCI Energies will continue growing. If someday VINCI Energies goes beyond VINCI Construction, it's not a problem in terms of size. Eurovia also will grow and VINCI Construction also will make acquisitions. But cyclically, you'll have seen margins are growing well at VINCI Construction, 2.8, I believe, up substantially from the previous fiscal period. But at VINCI Construction, what we're mainly doing is dealing with what we have already, managing what we have already before then moving proactively toward acquisitions. That was on the first point. Second point, Nicolas?
Nicolas Notebaert: So the solution for Lisbon, the most efficient for all parties is the problem of CapEx to arrive at 72 aircraft movements and to see the future for the next 45 years. 50 at concession, that's the best solution. It requires fewer tariff or financing requirements to be – it's also the role of a private concession, thereby, efficient cost-effective solutions over tariffs don't increase in the country remains competitive. Yes, there's a future improvement in regulation, take out of the fact that the CapEx in two airports recently. But clear objective is shared with the concession granting authorities. The airport must remain highly competitive versus other neighboring platforms in terms of the tariffs.
Unidentified Analyst: Bryan Garnier, I've got two questions. Can you give us your take on how you view margins for contracting trend in the coming years? Second question on Toulouse, would you be interested in the stake of Casil in Toulouse airport?
Xavier Huillard: This is the answer. VINCI Energies was great bringing it to 5.8% for the first time in 2018. It's good to stabilize at that level. Eurovia and VINCI Construction will continue seeing their margins improving in future years. Regarding Toulouse, the answer is also fairly straightforward. It's a beautiful city, it's a symbol of global aerospace. It's a city that's very successful. Its economy is doing very well, especially thanks to aerospace. So yes, it's an interesting asset, but we are levelheaded. We've got to build these things gradually and do appropriate deals, an appropriate deal as possible, that's fine; if it's not possible, that's not fine as well. In France currently, you've got not under-service but some questions, question marks because the regulatory authority's position is that, you will have observed, they've had to change the rate – the tariffs they need and also during the Paris airport and the original tariff proposal. So you need to look at how the regulatory landscape may change in airport areas such as Toulouse. Interesting. There is a question there, towards the back.
Nicolas Mora: Nicolas Mora, Morgan Stanley. High on construction in France, confidence levels of contractors. What do you see on the ground in terms of volume, order intake, customer interest for contracting? Contracting margin improvements rest on France, you promised 2% this year. Were we there? Are we slowing? That's the first question. And secondly, VINCI Energies, good return to organic growth, a few clouds and the macro horizon. Are you seeing a slowing of pace with your industrial clients that might bring us back to a flatter scenario for the organic growth of VINCI Energies?
Xavier Huillard: I can answer briefly, then my colleagues will add points. I didn't fully get what you were saying about the 2% though.
Nicolas Mora: Well, 2% was VINCI Construction margin in France. These past few years was close to zero. The idea of returning to an average level, are we halfway there? Do we still have in the catch-up phase?
Xavier Huillard: All in all, we don't give details. All in all, construction in France margin isn't yet optimal. Previously, we reached 4%, 5% margin. So it's been a lengthy process to get back where we need to be. And we're still pushing to improve operating margin of VINCI Construction in future years, and particularly France. As to the markets generally, I don't really understand what you're saying. You said there’s a plummet in confidence, that's not what we see. In previous times, we've told you, yes, France is working to speed so to speak. The impression that things are going fine because there's a focus on major projects, like we're in Paris, but there are also parts of France that aren't suffering, but there's not a whole lot of wherewithal to look forward. Maybe where there is a drop, I mentioned this earlier, it's in residential real estate, housing starts. All in all, and as Jerome will correct, but I don't think we can say that there's a plummet in consumer confidence or a drop in deals on offer in the various bidding process that we see. Mainly it's a stability; a little asymmetry due to some of the major projects in Greater Paris. VINCI Energies now, you saw the figures in 2018, organic growth, order book growth. Now what happened in January, even if I knew, it wouldn't be that meaningful. We have to realize fully that the advantage with technology used by VINCI Energies is it's not just about new, but also renovation, clearly an improvement in process, making everything we do smart, smart buildings, smart grids, smart cities, everything is becoming smart. There are lots of needs for ICTs. This type of information, communication technology's moving into every area. That's the overall trend, but we have another growth trend. You know that we were pretty good at it at VINCI Energies. We've been there right in a timely fashion. We were into information technology 10 years ago, so we're talking about 10 – EUR 2 billion-some now the portion of the sector for VINCI Energies. So I'm not worried in any way for VINCI Energies, especially that their business model, as we've shared for some time now, uses organic growth when it's available and also uses a lot of growth through acquisition and we've got real knowledge in that area. Does that answer your question?
Nicolas Mora: Yes.
Xavier Huillard: No addition? There are no negative signals, Jerome, right? Things are stable?
Jerome Stubler: We've increased order book, yes. No problem.
Xavier Huillard: Why would someone be thinking customers were depressed or something? No, not at all. Go ahead.
Nabil Ahmed: Nabil Ahmed from Barclays. Three questions, a more general question on new forms of mobility, car sharing, the e-car. Do you have an idea strictly at VINCI as how it's going to impact your various infrastructure in terms of potential investment in traffic? Second question, more a point of detail. Strong increase in the contribution of other concessions. Is it Lima or other assets that are contributing more over last year that have entered your scope. And a question on ADP. What was – what's your reaction about the vote from the Senate? And do you still believe it, in it?
Xavier Huillard: I'll begin with that one. Obviously, I have no comment on what's going on in the Senate. I'm not sure the debate was entirely rational, to be kind, especially when you hear some people feel it would be privatizing our border controls. Now, everybody knows that's not going to happen, particularly when I hear it's unimaginable, it's unthinkable to privatize a monopoly. Everybody knows in the airports, there's a huge competition where the Chinese want to move into Europe as kind of a choice. They've got so much – there's many choices in terms of their entry into, through Heathrow, Schiphol, Frankfurt, Madrid Airport, there are Paris airports and so forth. So the Senate, okay, fine, the Senate's the Senate. We feel confident. Our airport story is something we began 10 years ago, moving on opportunities. And were not to create value for all stakeholders, not only us, but we boosted the economies where the various airports are. Recent history of ours has shown that we're able to continue the story with or without ADP. We've always said clearly, if the opportunity arose, we'd be interested. If it doesn't arise, we'll do things differently. We'll continue a good story, find opportunities just as those we've been able to move on in recent years. And no further comment. Now, if you want my forecast, I think privatization will continue. But that's just a sort of prognosis, that's just my armchair thinking. Other concessions' contributions, several things. First of all, you have an improvement from the main contributors, i.e., not only LAMSAC but also Gefyra, the Greek bridge and then we've consolidated this year as you know. All the litigation, that turned around, so that was also included in this heading. How much was that? We don't give the breakout of these figures.
Unidentified Company Representative: You have English questions. [Foreign Language] French questions to begin with. Three people online. We'll begin with the French language questions. We have a question in French from Royal Bank of Canada. You have the floor for your question.
Stéphanie D’Ath: Hello. Question about your expectations in terms of financial leverage and cash conversion. In the new businesses acquired this year, cash conversion expectations, I have a question. Regulations in Portugal, could you give us further details? What are your expectations for the new civil airport and Lisbon airport? Will the tariff formulas stay the same? Last point. Could you tell us about the concessions in the U.S.? Any regions you're particularly interested in?
Xavier Huillard: Okay, if you could repeat the second part of your question, please. If you could just repeat the second part of your question, thank you. And the third part.
Stéphanie D’Ath: Third question was just what are your expectations in terms of acquisitions in the U.S. in developing concessions in the U.S.?
Xavier Huillard: So that'll be simple. I'm not going to answer that. So what was your first question again? I'm not sure I understood the first – yes, it was the financial, the optimum financial leverage. No, I'm not sure, it was that. What?
Christian Labeyrie: When we make an acquisition, Xavier said, we draw up a business plan unit by unit. We're looking a new company with a number of operational assumptions on revenue, margin, anticipated levels. We update in a model with a cost of capital with the possibility of leveraging or not the target, but that's a process that applies both to Concessions or Contracting. When we do the PrimeLine or Lane Plants & Paving, we do that exercise. If we embark on M&A, if it's a big one, we have hopes of a return on investment consistent with our BP. I can't – that's the only thing I can say. And the way it's executed over time, well, every target's different. Some have earlier returns than others. But over time, in any event, we have to reach the cost of capital targets that we set ourselves. On regulation in Portugal and CapEx allocation; so briefly, first thing, if you're familiar with the ANA contract, we had a major milestone and the Concessions signed an agreement on the future. As I said, the fact that the most efficient, cost-effective solution allows us to limit the tariffs. So the airport will remain competitive over the initial 40, 45 years. That's the country choice and it suits us down to the ground. It's reduced the debate on types of regulation. I won't go into detail. We'll remain both competitive and we have improved regulation. EUR 650 million CapEx on the existing airport. One of the ideas is, of course, to boost its ability in order to reach maximum possible capacity. And EUR 500 million for a new airport, the infrastructure's partly there because it's a military base and we have a terminal and infrastructure improvements of about EUR 500 million, EUR 650 million, so that's EUR 1.15 billion in CapEx. On the U.S, two words you saw on the slide. On the highway front, there are fewer concessions, French or Latin America style. We have California and Texas positions, very dynamic. One free flow and the dynamic toll, we invested in a company called TollPlus that does all the engineering and the back office systems. So California, Texas, very interesting dynamic states in terms of the take in passenger volume. There are few airport concessions in the year as we have one in our portfolio, AWW. We have Stanford airport, that's about 3 million passengers and we have operating contracts. They're not Concessions contracts. The small airports, such as Hollywood Burbank, but also some of the services, Atlanta, the world's largest airport. So we consider that in this developing market for concession fees, useful opportunities to gain a foothold in the world's leading market in what it's possible to do today. So we did major moves in 2018 in the U.S. in Concessions.
Unidentified Company Representative: [Foreign Language] Next question, I go, of course, to – we have a second French language question from JP Morgan. You have the floor.
Elodie Rall: Hello, Christian and Xavier, hope you’re well. Three questions, if you don't mind. Firstly, on the order book in Africa, which has seen a big increase, I'd like to know your view. What will the impact be on margins for VINCI Construction? Question number two.
Christian Labeyrie: EBITDA margin for VINCI Autoroutes, slightly down in 2018, probably due to the Yellow Vests movement.
Elodie Rall: What the – how do you think margins will trend now? What about versus the peak in 2017? Next, tax rates. What are your expectations in 2019? Do you think tax reform a slowdown or shall we expect a drop in tax rates starting in 2019? Thank you.
Christian Labeyrie: On tax rates, the answer to your question on tax rates, we don't know. We don't decide. In a worst-case scenario, same tax rate; a best case scenario, as expected should go down by how much, Mary [ph], two points? Two points – 32% instead of 34%. Now, you see for London, I don't know what you're thinking of, but here in Paris, for the time being, we've heard no rumors. No rumors according to which there would be any questioning of the sequencing of the drop of corporate taxes, which have been started by this government when it came into office. We could worry, but there's no reason to worry for the time being. VINCI Autoroutes EBITDA, again, ask the Yellow Vests. We're in charge of the rest. Order book in Africa, as you've often said, we can generate operating margin in Africa, which is usually above the average of VINCI Concessions. This is the case in the past. It's still the case now. All of our employees are trained. They're always looking for margin, especially in more difficult geographies. But I can't say much more than that. The order book is top-quality, thanks to which we will continue growing with margin levels that are above the averages for VINCI Construction, generally.
Unidentified Company Representative: [Foreign Language] An English language question now.
Operator: We have a question from the line from Vittorio Carelli from Santander. Madam, please go ahead.
Vittorio Carelli: Hi, good morning. Apologies if I pick up on top of the question but it's specifically a follow-on. So the first one is related to the possible pricing of the bonds of the Gatwick acquisition, if you have any – in the market. And the second question is related to the ANA CapEx. What do you see that is changes to this EUR 1 billion exactly and the return on the concession? And the second one is, should we wait for 45 bps EBIT recovery also in 2019 for construction or something better? Thank you.
Xavier Huillard: [Foreign Language] Are there native English speakers in the room maybe to give us an insight on the questions?
Unidentified Company Representative: Well, Gatwick we haven't done it yet. Hang on. So there was the cost of finance. No, I'm very sorry. So my answer, Xavier. We fully understood your question. Very sorry to have to say that we can't go into such detail regarding. On construction, I'd like to repeat what I've already said. That's to say there's no reason to believe that construction cannot gradually reach margin levels that we've been used to. That is 4% to 5% EBIT margin. It's a slow process because it's a big division that is widely distributed in terms of expertise, business and geography. We're on the way. We've increased by 30 bps last year, 30 basis points last year. So that's set to continue. As to the rest, I'm very sorry, subject to – we are unable to say anything else. Sorry about that.
Unidentified Company Representative: [Foreign Language] No more questions, are you sure? Isn't there a last – very last question from the room? [Foreign Language] The reception is now complete.